Operator: Good day, and welcome to the New Jersey Resources' Fourth Quarter Fiscal 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Dennis Puma, Director of Investor Relations. Please go ahead.
Dennis Puma: Thank you, Nicole, and good morning, everybody. Welcome to New Jersey Resources' fourth quarter fiscal 2017 year-end conference call and webcast. I am joined here today by Larry Downes, our Chairman and CEO; Steve Westhoven, our Executive Vice President and COO; Pat Migliaccio, our Senior Vice President and Chief Financial Officer, as well as other members of our senior management team. As you know certain statements in today’s call contain estimates and other forward-looking statements within the meaning of the securities laws. We wish to caution listeners of the call that our current expectations, assumptions and beliefs forming the basis for our forward-looking statements include many factors that are beyond our ability to control or estimate precisely, which could cause results to materially differ from our expectations as found on Slide 2. These items can also be found in the forward-looking statements section of today news release furnished on Form 8-K and in our most recent Forms 10-K and Qs has filed with the SEC. We do not by including this statement assume any obligation to review or revise any forward-looking statements referenced herein in light of future events. Turning to Slide 3, we will be referring to certain non-GAAP measures such as net financial earnings or NFE. We believe that NFE provides a more complete understanding of our financial performance. However, NFE is not intended to be substitute for GAAP. Our non-GAAP financial measures are discussed more fully in the Item 7 of our 10-K. I’d also like to point out that there are slides accompanying today’s presentation, which are available on our website and we’re also furnished on our Form 8-K this morning. With that said, I’d like to turn the call over to our Chairman and CEO, Larry Downes. Larry?
Laurence Downes: Thanks, Dennis, and good morning, everyone. As I begin this morning, I wanted to congratulate Steve Westhoven on his recent promotion to Executive Vice President and Chief Operating Officer of New Jersey Resources. I think many of you know Steve, but – for almost three decades now, he's been a valuable member of the team. He has made significant contributions to the Company, particularly on the development of our successful wholesale energy and midstream strategies and I am confident that he will continue to deliver results for our customers, our shareowners and all of our stakeholders. As you know from our news release, this morning, we reported another strong fiscal year. Thanks to the performance of our employees, and their hard work, their focus, and their dedication. As we look at Slide 4, we reported net financial earnings or NFE of $1.73 per share for fiscal 2017 and that compared with $1.61 per share of last year and represented a very strong growth rate of 7.5%. Our results were in line with financial community expectations and our stated guidance range of $1.65 to $1.75 per share. I would also point out that the results from each of our business were within the ranges that we have provided to you at the beginning of the fiscal year. Consistent with our plans, New Jersey Natural Gas once again had a very strong year and drove our financial results, higher utility base rates and record customer addition lead to a 14.2% earnings growth rate over the prior year. Demand for solar, continues to grow in New Jersey and we remain well-positioned strategically in this market. Our Clean Energy business NJR Clean Energy Ventures has become one of the largest residential solar providers in New Jersey. This year, we also placed five commercial solar projects into service and our solar portfolio now includes almost 190 megawatts. During the fiscal year, NJR Energy Services acquired natural gas transportation, storage and supply agreements with large industrial customers from Talen Energy were $55.7 million. This acquisition will support our wholesale energy services strategy, which is to provide physical natural gas services to customers across North America. Our strong financial profile and performance allowed us to increase our annual dividend rate by 6.9% and to provide our shareowners with a total return of nearly 32%. As we plan for future growth, we made progress on our key infrastructure projects, including our Southern Reliability Link, which will strengthen our system, ensuring safe, resilient and reliable service for our customers. Moving to Slide 5, earlier this year, we increased our dividend by 6.9%, which represented the 24th increase in our dividend in the last 22 years. Our dividend strategy targets an annual growth rate between 6% and 8% with a payout ratio of 60% to 65%. We believe that this approach should provide a competitive current return to shareowners while reinvesting earnings in the Company to support future NFE growth. Turning to Slide 6, as we look to fiscal 2018, this morning we announced an NFE guidance range of $1.75 to $1.85 per share. Our longer-term NFE per share goal remains in the 5% to 9% range. November 7, Phil Murphy won the gubernatorial race here in New Jersey. During his campaign Governor elect, Murphy stated his intentions to make New Jersey a national leader in solar energy production and job creation and we look forward to working with his administration to help realize that vision. Just after the end of the fiscal year, we signed an agreement with Talen Generation to acquire an existing pipeline in Southeastern Pennsylvania. This project involves, converting an oil pipeline to natural gas to serve customers in the Greater Philadelphia region. The investment is consistent with our strategy and it is expected to benefit both customers and shareowners. As you look at Slide 7, you can see we give a breakdown of the expected NFE contributions from each of our businesses in fiscal 2018. New Jersey Natural Gas will continue to provide the majority of our earnings, customer growth and infrastructure investments remain the principal earnings drivers. We anticipate that NJR Midstream will contribute between 5% and 15% of NFE, which will be driven by the performance of our existing assets and recording of allowance for funds used during construction or AFUDC from PennEast. In total, our regulated businesses New Jersey Natural Gas and NJR Midstream are currently expected to contribute 55% to 75% of NFE in fiscal 2018. We expect that NJR Clean Energy Ventures will contribute between 20% and 30% of NFE this fiscal year, and finally, we expect NJRES to perform within our guidance range and contribute between 5% and 10% of NFE this year. All-in-all, the performance of our portfolio is meeting our expectations and we expect another strong performance in fiscal 2018. And with that, I'll turn the call over to Steve Westhoven. Steve?
Stephen Westhoven: Thanks, Larry, and good morning, everyone. I would like to begin by discussing our Midstream business and recent announcement regarding the Adelphia pipeline acquisitions on Slide 8. Shortly after the end of the fiscal year, we signed an agreement to acquire an 84-mile 18-inch pipeline, which runs from Marcus Hook, Pennsylvania just South of Philadelphia, North to Martins Creek, Pennsylvania for $166 million. At the same time, we announced an open season for the Adelphia Gateway pipeline. NJR Midstream intends to convert the 50-mile Southern section of the pipeline to a Natural Gas only line and we will bring the pipeline system under FERC jurisdiction under the new name Adelphia Gateway. Capital costs for the conversion are expected to be in the $80 million to $130 million range. Today, the Philadelphia market is constrained with limited access to affordable energy sources. Adelphia Gateway will serve this need, fueling economic growth and job creation as businesses and manufacturers expand their operations. The project will have minimal impact on the environment because the pipe is already in the ground. The conversion process to natural gas involves minimal construction and utilizes brownfeild locations and existing rights of way. We expect the project to be in service in 2019 and to contribute to earnings in 2020. Our other midstream pipeline project, PennEast is expected to construct 120-mile FERC regulated interstate natural gas pipeline system that will extend from Northern Pennsylvania to West New Jersey and is estimated to be completed and operational in 2019. PennEast is currently awaiting the FERC certificate to move the project forward. Turning to Slide 9, New Jersey Natural Gas once again provided the majority of their earnings this year due to higher base rates, customer growth and infrastructure investments. During fiscal year 2017, we added over 9,000 new customers representing an increase of nearly 12% over last year. These new customers will add about $5.5 million annually to utility gross margin. We expect that growth to continue and we will spend approximately $120 million over the next two years and add up to 28,000 new customers. This equates to a growth rate of 1.7%, about 60% of that growth will come from new construction and 40% will come from conversions to natural gas from other fuels. Our BPU approved infrastructure programs including SAFE II and New Jersey RISE ensure the safety and reliability of our system while providing current returns in our invested capital. The SAVEGREEN program has helped our customers make energy efficiency upgrades to their homes and businesses. Since 2009, we have invested nearly $150 million in SAVEGREEN and these investments are authorized to earn return on equity that ranges from 9.75% to 10.3%. Our BGSS incentive programs saved our customers nearly $944 million over the life of the programs while contributing to an average of $0.05 per share annually to New Jersey Natural Gas’ earnings. Turning to Slide 10. As you know, we added strategy of hedging our SREC inventory to lock in revenue for future energy years. Results of this strategy are shown on Slide 10. You can see on the chart that nearly all of our SREC sales [Technical Difficulty] facility is currently operational and under construction are hedged for energy year 2018, at an average price of $222 per SREC. And we will continue to hedge through fiscal 2018. Energy years 2019 and 2020 hedging percentages should continue to rise along with prices as the market becomes more active set aside mandated clean energy requirements. Now I’ll turn the call over to Pat for some details on the numbers.
Patrick Migliaccio: Thank you, Steve, and good morning, everyone. This morning, we reported a fourth quarter NFE loss of $12.5 million or $0.14 per share compared with a loss of $2.1 million or $0.02 per share in the same period last year. For the year, we reported NFE of $149.4 million or $1.73 per share compared to $138.1 million or $1.61 per share last year. On Slide 11, you can see the drivers of the quarterly decline and the improvement in our annual results. For the fourth quarter, higher O&M expenses resulted in a lower quarterly contribution from New Jersey Natural Gas. However, for the year, higher base rates and customer growth led to a $10.8 million improvement for New Jersey Natural Gas. Both our quarterly and fiscal 2017 results continue to benefit from AFUDC equity of PennEast, of which NJR Midstream is a 20% owner. We began recognizing AFUDC in the second quarter and recorded approximately $3.6 million for the year. Results in NJRCEV were lower on both the quarterly and annual basis as a result of sale-leaseback financing arrangements executed in the fourth fiscal quarter of 2017. Finally, results of NJRES were higher for the quarter as compared to the prior year, but margin is lower for the full-year which is in line with our expectations. Turning to Slide 12, I would like to review our recent Solar Sale-Leaseback transactions. Under this type of financing arrangement, we retained effective ownership of the solar projects because we still have all the revenue streams including SRECs and also responsibility for the operation and maintenance of the asset. We are however, surrounding our rights to the investment tax credit and bonus depreciation. Since we are not a cash taxpayer for several years, this transaction structure creates additional economic value for us and assisted managing our tax credit carryforward. Under the structure, there is no upfront earnings impact from the ITC rather the value associated with the tax benefits is captured over time to the terms of the lease. Slide 13, brings together our capital plan for NJR for the next several years. As you can see, our investment in New Jersey Natural Gas approximates over $1 billion from fiscal 2018 through 2021. Also we planned to invest approximately $0.5 billion in Midstream over the next few years on our PennEast and Adelphia Gateway projects. The other I would like to highlight is our solar spending. We are estimating our residential solar customer growth rate will be between 8% and 10% in fiscal 2018, resulting in approximately $42 million of capital investment. We also have four new commercial and solar installations some of which we currently estimate will be finance to the sale-leaseback structure. Moving to Slide 14, you can see that our capital plan is anchored by strong cash flows from operations as well as our dividend reinvestment program to help finance our capital investment and dividend growth targets, the balance of company issuance of approximately $250 million of equity over the next two fiscal years and also long-term debt. As we do this, we remain mindful maintaining our current credit ratings and believe our cash flows and financing plans will continue to support our strong financial profile now and into the future. Before I turn the call back to Larry, I thought I would cover the effect of any changes to corporate tax rates on Slide 15. For New Jersey Natural Gas a lower corporate tax rate would result in lower growth for our customers. The current versions of the House and Senate Tax Reform Bills excludes the utilities industry from bonus depreciation and limits on interest deductibility, thereby mitigating most of the potential downside risk from tax reform. For non-regulated businesses, we would see a large one-time benefit as we re-measure net deferred tax liabilities associated with our clean energy investments and an ongoing benefit from a lower corporate tax rate. The lower corporate tax rate would result in a slightly longer time for us to use our tax credits, but we are not likely result in a material change to our planned investments. That said, it is early in the process. As a status of any tax reform package becomes clear, we continue to update you on our position and future actions. I'll now turn the call back to Larry for some final thoughts.
Laurence Downes: Thanks, Pat. Before we open up the call for questions, I want to summarize the key elements of our plan to create long-term shareholder value. Looking at Slide 16, we have illustrated our accomplishments in fiscal 2017 as well as our path to future growth. We continue to believe this bath will support our long-term growth targets and provide solid returns for our shareowners. We spent the last decade building a portfolio of energy infrastructure assets to help meet current and future energy demand and we've used our knowledge of energy markets to offer services that help both large and small customers manage their energy needs. Our primary strategy is to invest in natural gas and clean energy, the two fastest growing areas of our nation's energy supply and we will continue to provide energy efficiency programs that help our customers use less energy and save money. As the demand for clean domestic affordable energy continues to grow, Natural Gas and Clean Energy will play leading roles in our future supply mix. Our infrastructure investments are aligned with this opportunity. Also as advances in technology make natural gas production more accessible and efficient and as natural gas demand continues to reach record levels, we are investing in natural gas infrastructure to meet customer needs. Our solar investments will advance this transition to a cleaner energy future, supported by state and federal policies, declining costs and growing customer demand, Clean Energy is currently projected to grow to 20% of our nation's energy mix by 2040. We believe that energy efficiency is another important part of our energy future, with new technologies, building codes in energy appliance standards, along with an increased interest in reducing emissions and lowering energy bills, the focus on energy efficiency continues to grow. We believe that energy efficiency benefits all of our stakeholders including customers and investors, and it’s the least cost of alternative for saving money and improving the environment. We continue to be leaders and innovators in the energy efficiency space for customers, who are increasingly interested in saving energy are collaborative relationships with our regulators has been a key element in our ability to advance energy efficiency in New Jersey. To achieve our long-term NFE growth targets, we will maintain a discipline capital allocation strategy as focused on achieving an appropriate risk adjusted cost of capital. We will also maintain a strong and efficient financial profile that will provide access to external capital as needed. So before we go to questions, I want to say thank you as always to the outstanding work of our more than 1,000 employees, who is dedicated women and men are the foundation of our Company and the driving force behind all we do and the results that we are reporting today has been achieved do their commitment to excellence and their passion for serving our customers every day. So I want to say thank you everyone for joining us today. Have a wonderful Thanksgiving and we would now welcome your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Spencer Joyce of Hilliard Lyons. Please go ahead.
Spencer Joyce: Hey, good morning, guys. Thanks for taking the call.
Laurence Downes: Good morning, Spencer.
Patrick Migliaccio: Good morning, Spencer.
Spencer Joyce: Hi, hopefully a couple of quick ones for me, Pat perhaps first to you, how quickly can the sale leaseback agreement be kind of the standard for the new solar operations? I mean will we see kind of a 50/50 split between sale leasebacks and ITC-eligible stuff or is that perhaps too quickly to make that shift?
Patrick Migliaccio: So Spencer, in our long-term capital plan, we included an estimate of what we expect to sale leaseback finance in both 2018 and 2019 today. The sale leaseback structure, we actually have 90 days after the commercial operation of the asset before it goes into service to execute that, and so provide us some flexibility to ramp that up during the course of the year, if other businesses of ours are performing better than expected.
Spencer Joyce: Okay, that's very helpful. Also kind of sticking with the sale leaseback item, correct me when I'm on wrong here, but was there a negative contribution from ITC specifically in the fourth quarter perhaps as we adjust the earlier quarters for the sale leasebacks, we saw in Q4 or is my math just off there?
Patrick Migliaccio: No, I think that's accurate. Unfortunately, we have to estimate a future tax rate and take into consideration future investment tax credit. So the fact that, we did not record the investment tax credits on the Pemberton II and Princeton solar projects in the fourth quarter, resulted in a negative ITC adjustment if you will. But I think – sorry Spencer, I think the important number to look at is the year-on-year comps.
Spencer Joyce: Okay. Great. I just wanted to make sure I wasn’t losing my mind here around the holidays at home. So versus the 29.6 NFE ITC comp for 2017, what's the comparable 2016 number, slightly less than that, right?
Patrick Migliaccio: Yes, the CapEx that I have right in front of me is $85 million roughly for this year and was $87 million last year, so modest decline year-on-year.
Spencer Joyce: Okay, perfect. Final question perhaps Steve to you for a second – first of all, congrats on the promotion.
Stephen Westhoven: Thank you.
Spencer Joyce: Welcome to the call. And you made a short comment about perhaps [Wyoming] [ph] SREC as we look over kind of the 2019, 2020 years, was that more a qualitative assertion about support for clean energy from the new Governor there or was that a comment perhaps on simply the structural dynamics of the way the curves are structured in the way that those end use customers buy those SREC?
Stephen Westhoven: I guess you can answer that as probably a yes for both. I would imagine that the two are somewhat joined. Certainly, our new Governor has expressed some lofty clean energy goals. So I think that that has been somehow seen in the marketplace, and certainly we've seen some uptick in SREC buying an interest, not only for 2019, but also for 2020 and that's translated in some increase in prices. In February, as you remember there's BGSS auction, generation service auction for this load, certain providers will have to buy SRECs in order to complement their load and to adhere to the guidelines of a servicing load within New Jersey. So that certainly adds upward pressure to the markets. And I think all of these are coming together. So trying not to make predictions on the forward market, but it certainly has some strong support at this point.
Spencer Joyce: Okay. That's very helpful. Happy Thanksgiving and congrats on a real nice year.
Stephen Westhoven: Thank you.
Laurence Downes: Thanks Spencer.
Operator: Our next question comes from Michael Gaugler of Janney Montgomery Scott. Please go ahead.
Michael Gaugler: Good morning, everyone.
Laurence Downes: Good morning, Mike.
Stephen Westhoven: Good morning, Mike.
Michael Gaugler: I got two questions on the Adelphia line. First, I'm wondering how you discovered the opportunity, was that internally sourced or brought to you externally? And then second, in terms of the size of the line, do you plan to upsize before putting it into service?
Stephen Westhoven: Hey Mike, it’s Steve. So basically the way that came about that assets had been on the market for quite some time and we actually had gone through multiple bidding processes to finally achieve and win that asset, and essentially we were able to identify constraints in the market and we felt that that line would have significant value due to the constraints in the market, specifically that Philadelphia area, South of Philadelphia area industrialized zone was very short on gas supply. So they need new supply down in that area. So that's what really drove us to pursue this asset in the marketplace. As far as upsizing goals, we have no plans at this point to upsize that asset, that pipeline is already in the ground, and it's been tested. We should be able to convert this pipeline with very minimal construction and just some short laterals that need to be put in place the assets the market down in the Marcus Hook area. So at this point it will stay an 18-inch pipeline and operated as such.
Michael Gaugler: Okay. I guess one final one. Are there any other pipes like that in the area that speaks to your interest?
Stephen Westhoven: We don't have any at this point to discuss, but certainly repurposing some certain assets is an easier way to develop gas infrastructure.
Michael Gaugler: Okay. That's all I had. Thank you, gentlemen.
Stephen Westhoven: Thanks Mike.
Laurence Downes: Thanks Mike.
Operator: Our next question comes from Sarah Akers of Wells Fargo. Please go ahead.
Sarah Akers: Good morning.
Laurence Downes: Good morning, Sarah.
Sarah Akers: What drove wind out of the capital plan between the Q3 update and update today?
Laurence Downes: Sarah, we have about $200 million of wind investments slated for fiscal 2018 and 2019. I think it's fair to say with the Adelphia Gateway announcement, we are redirecting that capital into a higher return asset with some attractive cash flows. We will also – so wind will shift to a more opportunistic profile over time.
Sarah Akers: Okay. Got it. And then relative to the fiscal Q1 and service date for SRL, when do you expect to start recovering and earning a return on that investment?
Patrick Migliaccio: SRL is currently earning AFUDC equity on the balance of spend, the in-service date shifted a bit for SRL given the delays we've had in achieving the road opening permits and the [Indiscernible] complete the project, but I would say that not materially moving off from where it was before, we got Mark [Indiscernible] in the room, he might want to follow-up on that as well.
Laurence Downes: Mark Kahrer just joined us probably about six or seven months ago from PS and now leads our regulatory group. So Mark why don’t you comment on that?
Mark Kahrer: Yes. So right now we're working with Craig Lynch in operations to kind of plan out on his construction schedule. When he thinks we’ll likely get through this process and then we’ll begin starting the plan for the rate case; it’s on one of the slides, but we're going to try and think that up pretty closely as we can to when it will go in-service, so there's not any regulatory lag on that asset.
Sarah Akers: Okay. I thought [indiscernible] correct that it will go in-service in fiscal Q1 of 2019 and that's also when you will file the rate case?
Mark Kahrer: We may file before that if we have a clear shot at being able to get that done and get in the rates before winter sets in.
Sarah Akers: Got it. And is there any plan to seek an accounting order or any special treatment just to mitigate the lag between the in-service date and when you can ultimately get that in rates?
Laurence Downes: I think we'd like to, but the infrastructure classes that would do that aren’t really kind of purposed for that. We would have to have a conversation with the board in order to do that.
Sarah Akers: Okay. And then on the Adelphia project, will you book AFUDC throughout 2019 or should we expect that earnings contribution to be more in 2020?
Patrick Migliaccio: Yes. Sarah, at this time we're not expecting any AFUDC equity on that project. And it has to do with the fact that a portion of it’s already in-service and so that present some challenge getting to the conclusion on AFUDC. If that changes, we will certainly update it.
Sarah Akers: Okay. And then last question just a follow-up to Spencer's questions on the ITCs. So for 2018 of the 180 guidance at the midpoint, what is the EPS contribution from solar tax credits? Or if you just have it on an earnings basis not on an EPS?
Patrick Migliaccio: Yes. I have got in the capital planning side. So we are – one second Sarah, sorry not on top of my mind for you right now. So for 2018 we've got roughly $92 million of ITC all across solar investment, so times the 24% investment tax credit we are looking at close to $18 million to $21 million of ITC – of investment tax credits in 2018. And then the balance of investment is $43.8 million of sale-leaseback solar investment and that will be recognized over time.
Sarah Akers: Okay. And you said in 2017 it was close to $30 million, so there's a decent delta down into 2018 just because of this. Is it primarily the sale-leaseback that's driving the ITC that you're booking down?
Patrick Migliaccio: So in 2017, our ITC-eligible solar CapEx was $87.5 million and that compares to a $93.5 million in 2018, so you see a slight step up in ITC-eligible solar CapEx. Sale-leaseback, you also see a slight increase with $33 million roughly this year and it will be a $44 million next year.
Sarah Akers: Okay. Thank you. End of Q&A
Operator: [Operator Instructions] And as we have no further questions, I would like to turn the conference back over to Dennis Puma for any closing remarks.
Dennis Puma: Okay. Thank you, Nicole. Thanks everybody for joining us this morning. As a reminder, a recording of the call is available for reply on our website. We always appreciate your interest in investment in New Jersey Resources. Have a great Thanksgiving. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.